Operator: Greetings, and welcome to the Olo Fourth Quarter 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Gary Fuges, Senior Vice President of Investor Relations. Please go ahead.
Gary Fuges: Thank you. Good afternoon, and welcome to Olo's fourth quarter and full year 2024 financial results conference call. Joining me today are Noah Glass, Olo's Founder and CEO; and Peter Benevides, Olo's CFO. During this call, we will make forward-looking statements, including, but not limited to statements regarding our expectations of our business, our industry, our operations and future financial results. These statements reflect our beliefs and assumptions only as of today and are subject to a variety of risks and uncertainties that could cause actual results to differ materially. For a discussion of these material risks and uncertainties, please refer to our Form 10-K, which was filed today, and our other SEC filings. Also during this call, we'll also present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release, which is available on our Investor Relations page on our website. And finally, in terms of our prepared remarks or in response to your questions, we may offer incremental metrics. Please be advised that, this additional detail may be one-time in nature and we may or may not provide an update in the future on these metrics. With that, I'll turn the call over to Noah.
Noah Glass: Thank you, Gary. Hi, everyone. Thank you for spending time with us today. Team Olo posted a fantastic 2024. For more than 750 brands, we powered $29 billion in gross merchandise volume. If Olo was a restaurant brand, this level of sales would make us the second largest brand in North America ahead of Starbucks and trailing only McDonald's. We also more than doubled our gross payment volume to $2.8 billion, up from more than $1 billion in 2023 and $250 million in 2022. And we increased borderless accounts from $2 million this time last year to nearly $15 million today. Olo's continued reliability at scale recently supported a record Super Bowl Sunday and a Valentine's Day that was the largest sales day in Olo's history. We innovated across all three product suites to support continued growth, launching new features in Catering Plus and Engage and introducing Olo Pay card-present functionality to further scale our payments business and aggregate on-premise transaction data that helps power the Olo Guest Data Flywheel strategy. And we published strong financial results throughout the year, including Q4 performance that exceeded our revenue and non-GAAP operating income guidance ranges. As our full year 2025 guidance reflects, we are confident, we can continue to serve our brands while accelerating gross profit growth and driving operating leverage. I'll review the fourth quarter customer and product highlights, our new FreedomPay partnership and our 2025 priorities. And then Peter will discuss our Q4 financial performance and our guidance for Q1 and full year 2025. We'll then take your questions. We ended the quarter with approximately 86,000 active locations, adding approximately 1,000 net new locations over the fourth quarter and 6,000 in full year 2024. We also continued to retain and expand with customers with net revenue retention at year end of 115%, a gross revenue retention rate in excess of 98% and year-over-year ARPU growth of 12%. It was another solid quarter of enterprise and emerging enterprise customer implementations, including more brands that evolved to Olo flywheel customers by deploying modules across all three of Olo's product suites, Order, Pay and Engage. Enterprise new deployments included Jason's Deli, who launched on the full order suite, Catering Plus and Olo Pay card-not-present. Leading iced tea franchise HTeaO added Olo Pay, and we're excited to announce that Top 25 brand Jack in the Box expanded their Olo relationship to include rails. In emerging enterprise, walk-ons deployed our full order suite, Olo Pay card-not-presence and Catering Plus and Crisp & Green launched as a full Flywheel brand with nine Olo product modules. Brands like Burgerville and Costa Vida expanded with Olo Pay and we're proud to announce that Blake's Lotaburger for all you Breaking Bad fans and Mendocino Farms added Engage to become full Flywheel brands. We believe the Olo Guest Data Flywheel strategy is resonating within our base and we expect to add more Flywheel brands this year. Finally, Catering Plus enjoyed another successful quarter of expansion deployments with enterprise brands like BJ's Restaurant and Brewhouse, Black Bear Diner and Raising Cane's and with more than a dozen emerging enterprise brands. Catering Plus was off to a great start in 2024, and I'll share more about our plans for this important channel, when I discuss our 2025 priorities. In product innovation, we released 13 product enhancements in our winter release, including AI-powered menu item recommendations, Sparkfly and Spendgo loyalty partner integrations and deeper reporting and analytics in Engage, and enhanced Catering Plus account management features to give brands the insights and tools they need to succeed in this increasingly important channel. In partnerships, Grubhub, a longstanding member of our rails network expanded their Olo relationship to include Dispatch. And earlier this month, we announced an exciting new partnership with FreedomPay, a leading payment gateway terminal provider, where Olo Pay card-present functionality will be integrated with FreedomPay's gateway terminals and supported by our existing Stripe relationship. We believe, this is great news for three reasons. First, FreedomPay is already integrated with over 1,000 POS and payment systems. This accelerates Olo's time to market, enabling us to sell and deploy Olo Pay card-present into the majority of our location base more quickly than by integrating with one POS partner at a time. Second, we can now provide our brands with choice, use Olo Pay through a direct POS integration or through FreedomPay terminals connected to their POS. Third, the FreedomPay data API will give us access to transaction data that's similar to what we can capture through an Olo Pay direct POS integration today. Regardless of how a brand chooses to work with Olo Pay, we can match their full stack payment data and our wealth of digital ordering data through Engage's GDP to build a 360 degree view of their guests and help brands personalize guest experiences and drive profitable traffic. We think our FreedomPay partnership is a game changer for Olo Pay. We expect Olo Pay to be generally available with FreedomPay by mid-year, and we've already enabled the sales team to take this new offering to market in Q1. Before I turn the call over to Peter, I want to share our top priorities for 2025, failing Catering Plus, ramping Olo Pay card-presence and increasing our base of full Flywheel customers. With Catering Plus, we believe we can replicate our success in meal time digital ordering and the increasingly popular catering channel. In 2024, Catering Plus began expanding into our existing base. In 2025, we're focused on building on this expansion motion, while also winning new brands through Catering Plus's modularity, including top 25 brands seeking to add digital catering order management to their in house tech stacks. And after landing a new brand with Catering Plus we can then expand these relationships into Olo Dispatch, Engage, Pay and Rails to support the growth of a brand's catering channel. For Olo Pay, 2025 is about ramping card-present transaction processing, which we estimate is a $130 billion plus GPV opportunity that unlocks the full $160 billion plus GPV opportunity within our existing base. This can help drive the Olo Guest Data Flywheel strategy, providing brands with access to data from the 80% plus of transactions that occur on premise, while also accelerating our gross profit growth, as greater GPV scale helps to drive better payment processing economics for Olo. Brands currently piloting card-present report faster processing times and better reporting and reconciliation functionality, which helps to improve the guest experience and improve operational efficiency. And with FreedomPay, we believe, we're in a strong position to begin ramping card-present business within our base. And in 2025, we plan to increase the number of brands using products from all three of our suites. The power of the Olo Guest Data Flywheel is resonating with innovative brands like California Fish Grill, whose aggregating order and pay transaction data into Engage's GDP, and using the Engage marketing module to identify and understand its guests, maximize marketing ROI through personalized communications and drive sales. In six months, California Fish Grill generated a 41% increase in known guests, a 21% increase in guests they can directly market to, and $7 million of digital order revenue attributable to these personalized marketing campaigns. As we further demonstrate the value of combining Order, Pay and Engage with early adopters, we expect more brands to rely on the Olo Guest Data Flywheel to convert their guest transaction data into actionable insights, personalized communications and experiences, and profitable traffic. 2024 was another successful year for Olo, and we believe we can achieve even more in 2025. We wouldn't be here without the talented and dedicated members of our team, who are committed to our mission, hospitality at scale. I'll now turn the call over to Peter, who will review our fourth quarter and full year 2024 financial highlights and our 2025 guidance. Peter?
Peter Benevides: Thanks, Noah. Today, I'll review our fourth quarter and full year 2024 results, as well as provide guidance for the first quarter and the full year 2025. In the fourth quarter, total revenue was $76.1 million, an increase of 21% year-over-year. Platform revenue in the fourth quarter was $75.2 million, an increase of 21% year-over-year. Pay had another strong quarter and platform revenue excluding pay also outperformed our expectations. Active locations were approximately 86,000, up approximately 1,000 locations sequentially due primarily to the deployment activity Noah mentioned. We added approximately 6,000 net new locations over the year, exceeding the full year target for net new locations we provided in our initial 2024 guidance. ARPU for the fourth quarter was approximately $878, up 12% year-over-year due primarily to increased order volumes and modules per location, in particular, Olo Pay. Net revenue retention was 115% in-line with historical trend. Gross revenue retention remains above 98%, as we continue to retain brands through our platform's scalability, reliability, security and the breadth of our solution. For the remainder of the Q4 financial metrics disclosed, unless otherwise noted, I will be referencing non-GAAP financial measures. Gross profit for the fourth quarter was $45.2 million, up 11% year-over-year. Gross margin for the fourth quarter was 59.5% in-line with the expectations we set on our prior call. Gross profit and gross margin performance reflect the impact of this quarter's revenue outperformance as well as the increasing mix of Olo Pay revenue. In Q4, we continue to be disciplined in managing our operating expenses, while investing for future growth. As shown in today's earnings press release, all three operating expense line items improved year-over-year on a percentage of revenue basis. Operating expense dollars were down sequentially due to a full quarter impact of the cost reductions we announced in late September. Operating income for the fourth quarter was $11.5 million, up from $6.8 million a year ago. Operating margin was 15.1% in Q4, an increase of approximately 430 basis points year-over-year. This strong performance reflects both continued expense discipline and the revenue outperformance. Net income in the fourth quarter was $11.3 million or $0.06 per share based on approximately 176 million fully diluted shares. For the full year of 2024, revenue of $284.9 million increased 25% and ARPU of approximately $3,400 rose 25%. Olo Pay revenue was slightly above $70 million in the year. Brands utilized 3.7 average modules per location as of December 31, 2024, versus 3.5 average modules per location, as of year-end 2023. Full year 2024 non-GAAP operating income or NGOI was $32.9 million, up approximately 80% year-over-year. NGOI margin in 2024 was 11.6%, up approximately 360 basis points from 8% in 2023. Turning our attention to the balance sheet and cash flow statement. Our cash, cash equivalents and short and long-term investments totaled approximately $403 million as of December 31, 2024. Net cash provided by operating activities was $9.3 million in the quarter, compared to $5.8 million in the year ago quarter. Free cash flow was $6.8 million compared to $2.7 million a year ago. Q4 cash flow metrics primarily reflect operating income performance and working capital timing. For the full year 2024, we generated approximately $40 million in cash from operating activities and $27 million in free cash flow. I'll wrap up by providing our guidance for the first quarter and full year 2025. For the first quarter of 2025, we expect revenue in the range of $77.2 million and $77.7 million and non-GAAP operating income in the range of $8.7 million and $9 million. For the full year 2025, we expect revenue in the range of $333 million and $336 million and non-GAAP operating income in the range of $45.5 million and $47 million. A few things to keep in mind as you consider our outlook for the year. We continue to expect trends in the restaurant industry to be similar to what we saw in 2024. Consistent growth in digital ordering, a continued need to improve efficiency to offset rising costs and macro uncertainty. Our guidance once again assumes a two-thirds, one-third split between incremental revenue from existing projects currently in deployment and new business signed and deployed intra year. We expect to add approximately 5,000 net new locations in 2025, in-line with recent trends, and we expect location count to ramp throughout the year. Note that, the addition of 6,000 net new locations in 2024 was above our initial guidance of approximately 5,000 due to primarily outperformance from brands that signed and deployed intra year. We expect full year 2025 Olo Pay revenue of approximately $110 million with card-not-present transactions continuing to account for the vast majority of total Olo Pay revenue. We expect card-present revenue to begin to ramp in the second half of the year and contribute gross revenue in 2025 in the high single-digits million dollar range. Full year 2025 guidance assumes that gross margins will compress by approximately 250 basis points versus full year 2024 gross margin, as we continue to scale Olo Pay revenue. Based on our revenue growth and gross margin expectations, we expect the gross profit growth for full year 2025 to be greater than full year 2024 gross profit growth, with growth acceleration expected to be more prevalent in the back half of the year, due to the tougher comps in the first half of 2024. For operating expenses, we will continue to manage our cost structure to drive operating leverage, while continuing to invest to support our customers and our key growth initiatives. As we've previously shared, we expect operating margins and dollars to improve over time, as we continue to scale into our payments opportunity, as the incremental profit dollar per payment transaction process continues to improve. This is the power of our payments led cross-sell model, which we're beginning to see play out. Full year 2025 guidance assumes total OpEx dollars will grow in the mid-single-digits percent range versus full year 2024, with higher spend in Q1 due to approximately $2 million in investment in our March, Beyond4 Annual Customer Conference. We also expect annual compensation increases to hit in Q2 as was the case in 2024. Finally, we want to remind investors of our commitment to delivering both growth and profitability. As our strategy has played out and we've scaled Olo Pay revenue, gross profit growth has become a more relevant growth indicator for our overall business. Given this, we are focused on managing the business for Rule of 40 performance, based on gross profit. Gross profit year-over-year growth plus non-GAAP operating income as a percentage of gross profit dollars. We believe this metric is a fair way to assess annual performance of the business. And on this basis, we moved from a Rule of 25 in 2023 to a Rule of 31 in 2024 and ended 2024 with a Rule of 36 in Q4. Our full year 2025 guidance implies will see further improvement in this metric in full year 2025 versus 2024, and we anticipate the business will meet or exceed gross profit Rule of 40 in Q4 2025. To wrap up, Olo posted another strong year of financial performance in 2024 and we believe we can perform at an even higher level in 2025. We're executing on our strategy and we expect to drive a solid mix of growth and operating leverage going forward. With that, I'd now like to turn it over to the operator to begin the Q&A session. Operator?
Operator: [Operator Instructions] Your first question comes from Terry Tillman with Truist Securities.
Connor Passarella: Great. Good evening, team. Connor Passarella on for Terry. Appreciate you taking my questions. First one, just wanted to dig a little bit more into the FreedomPay partnership. I guess the first part is just once that partnership comes fully online, I guess what's the timeline in terms of customers being able to turn it on? And then secondly, just anything directional that you were expecting there in terms of FreedomPay specifically impacting the card-present guide that you gave for 2025?
Noah Glass: Connor, thanks for the question. This is Noah. So I think we mentioned, maybe it was buried in the prepared remarks that general availability for Olo Pay card-present through FreedomPay would be mid-year and that we have our go-to-market team already out there having conversations with customers. So we started talking about Olo Pay card presence, if you recall, we announced it at our customer conference Beyond4 in March of last year. And then last quarter, we talked about our direct to POS partnerships with a number of the point-of-sale partners that we work with from an order injection standpoint, NCR, Queue and Tray. What this represents with FreedomPay is our ability to really broadly sell Olo Pay card-present to our customers. And we're very excited about that and what it opens up in terms of the addressable payments volume for Olo Pay, just reflecting on the journey that we've been on. I mentioned it on the prepared remarks, but we went from $250 million of processing volume in 2022 up to $1 billion in processing volume in 2023. And we finished last year in '24 at $2.8 billion in processing volume for Olo Pay, all of that being or the vast majority of it being card-not-present. So incredible growth there over 10x growth over a two year period. If you think about that with the backdrop of $29 billion of GMV, we're approaching 10%. So we still have a big way to go there. If you think about it against the backdrop of what we've just unlocked in adding the additional $130 billion of card-present volume that our restaurant customers are doing, that's $160 billion plus of addressable gross payment volume, something of around 15% of total restaurant industry sales, in the U.S. restaurant industry. And from that perspective, $2.8 billion against that $160 billion is under 2%. So we're very, very early in this journey excited about the progress that we're seeing, and thrilled to have expanded so dramatically with this move with FreedomPay to open it up broadly to our customers, given all the POS integrations and payment aggregation that FreedomPay has completed as an ideal partner for really taking Olo Pay card-present to scale.
Connor Passarella: Great. That's helpful, Noah. And then maybe just as a follow-up, just on multiproduct adoption as a focus point for this year, adding Flywheel customers. You've been typically pretty successful with doing those on the emerging enterprise side of the business. I'm just kind of curious on what kind of strategies or how you're thinking about increasing module adoption with enterprise customers this year?
Noah Glass: Yes. I think it's happening organically across the Board, and you see module adoption growing and adoption of new product suites to get to that full flywheel of having modules within each suite, in enterprise, in emerging enterprise. And even some of the Top 25 brands that we work with, you see groups like Jack in the Box, who just announced the expansion into Olo Rails. If you'll recall, that started off as a single module customer just using Dispatch, then adding Order, now adding Rails. So a great example of expanding until to the full order suite. And then across the board, you see an enterprise brands that are becoming flywheel customers within enterprise. We're very excited by seeing brands adopting Engage, oftentimes that is the sequence order first, then pay, then Engage, and then really being able to benefit from order and pay as great sources of guest data and engage to take that data, collate it back to a guest and then be able to really personalize communications out to that guest, personalized experiences for that guest, and in so doing drive profitable traffic. And that's really what we mean by the flywheel that, if Engage is doing its job correctly, doing its job well, as you hear with examples like what we shared with California Fish Grill, then it's driving more orders, more payments and that flywheel spins faster and faster. We love having customers that can serve as case studies, reference stories, evangelists for that Olo Guest Data Flywheel strategy. We have a lot of brands in emerging enterprise and in enterprise becoming full flywheel customers. And I think when restaurant brands see this better way of driving traffic, not just by discounting or doing value menus or other things that erode the bottom-line, but driving profitable traffic by leading into guest data and personalization and using the guest data flywheel to do that, it's the kind of thing that gets the vast majority of our restaurant brands excited to take that next step along their digital maturity curve. I'm proud that we went up from 3.5 modules at the end of last year to 3.7 modules at the end of 2024. But of course we have 16 modules. We have a long way to go to get brands all the way to using all of those product suites and all of the modules within each of those suites.
Operator: Next question, Matthew Hedberg with RBC Capital Markets.
Mike Richards: Hi, guys. This is Mike Richards on for Matt. Thanks for taking the questions. It was great to hear about the FreedomPay partnership, maybe coming back to it. Acknowledging it's still early, have you gotten any early feedback from the sales force on what customers are saying? And maybe any early interest that, they weren't expecting for Pay from these customers? And just broadly, was this partnership in your product roadmap for Pay? And does it change what your idea of card present versus card not present looks like over time? And ultimately, what Pay gross margins can look like over time?
Noah Glass: Thanks for the question. I'll start there. Thanks for the questions. I'll try to remember all those and package my answer accordingly. I think when we look at the FreedomPay partnership, it is in part hearing all of the excitement from customers and many of those who weren't a user of the point-of-sale platforms that we announced a direct to POS, Olo Pay card present partnership with. So if you are an Olo Pay customer who's not on NCR, not on Queue, not on Tray, you probably heard about Olo Pay card-presence and said, this sounds exciting. When are you going to get to my point-of-sale? And we certainly have heard a lot of interest from our customer base hearing about the benefits of Olo Pay card-present. We've heard from those who are using Olo Pay card-present in the five pilots that we have launched. We're seeing faster processing of transactions. We're seeing better reporting, better reconciliation. This is a win-win for guests and operators, and that's really been the through line of all of our modules over time is that they have to be a win-win for guests and operators at the same time. We're seeing that value proposition play out with the direct to POS integrations. FreedomPay really just opens up the floodgates and enables us to do this broadly, and be the payment processor for the 82% of industry transactions that are happening not through digital channels, but happening inside the four walls of the restaurant. And that's very exciting for our customers, because it means that we can offer to them regardless of what point-of-sale they're on, the ability to capture all of that transaction data, pull it into the guest data platform, and be able to see a guest's order history and use that to personalize the guest experience. That's the value proposition of that, Olo Guest Data Flywheel and specifically, Olo Pay card-present as part of that guest data acquisition strategy to pull that guest data into the Engage GDP and go from there. In terms of the economics of Olo Pay, I think we've talked about how having more scale in any payments business is beneficial for the economics and the profitability of the payments business. So from that perspective, I guess it helps us to get to scale faster by having that much larger addressable market now $160 billion plus in addressable market for Olo Pay, when you combine card-not-present and card-present together.
Mike Richards: Got you. And then just one more. You guys are expecting a similar environment next year for restaurants. Have you seen, given rising prices and need for efficiency, have you seen more customers as we've been in this environment for a longer time, really leaning into that data analytics strategy and needing the holistic view of a customer from a data perspective?
Noah Glass: Yes. A 100%. That has been the message that we have been shouting from the rooftops is that, everybody in this industry is desperate to drive traffic, but this is not a time to revert to the old playbook of discounting and deals and bombing price. That is helpful in the short-term. It is very harmful over the long term for franchisee profitability, for the guest's perception of what the menu price should be and ultimately for the health of the brand. And so what we've been championing is helping brands to gather more guest data with the guest's permission and to use that data to do things differently, to do things in a more sophisticated manner, which is to personalize the guest experience using all of that data and to use it to drive profitable traffic. Profitable being the operative word in that phrase and the differentiating word from deals and discounts and bundling and other efforts that we see restaurants doing over the years that are ultimately harmful. I think the brands like California Fish Grill, in other quarters we've talked about First Watch, we've talked about Sonny's Barbecue, Five Guys Burgers & Fries, California Pizza Kitchen that are leaning into utilizing guest data for personalization and driving profitable traffic, they are going to be most efficient in their marketing spend and they're going to be around for the long-term and not just surviving challenging macroeconomic times, but thriving.
Operator: Next question, Clarke Jefferies with Piper Sandler.
Clarke Jefferies: Hello. Thank you for taking the question. Noah, Peter, great to see the results and the encouraging top-line guide for 2025. I just wanted to ask, firstly, Peter, on Olo Pay, $40-ish million of incremental Olo Pay revenue, but the commentary that gross profit growth will actually be higher than 2024, just wanted to understand the scale advantage that you're getting for Olo Pay at this point. Is that multiple 100 of basis points of improvement on gross margin? And then, I have one follow-up.
Peter Benevides: Yes. Thanks, Clarke. So you're right in terms of the incremental revenue contribution embedded in the guide of 40 above -- $40 million year-on-year getting to that $110 million of total revenue for '25. In terms of the margin improvement specific to Pay, so we continue to see improvement within card-not-present, because similar with card-present with greater scale comes better economics. So we've seen some improvement in card-not-present, but the incremental blended gross margin improvement specific to pay is really going to be fueled by card-present coming online. And again, that's for two reasons. Number one is typically, what you see in a card-present transaction, is it lends itself to better margins because the card mix on premise usage of things like debit, tend to have a better margin profile. And then secondly, again, with greater scale comes better economics, so we can drive better card-present margins and overall Pay margins. So taken as a whole, if you look at pay margins in 2025, you're seeing an improvement as compared to 2024.
Clarke Jefferies: Perfect. Makes sense. And just at a high level, certainly high teens growth at the consolidated level in revenue is encouraging, but how are you thinking about brand count and location growth at that 5,000 level? Would you like to see it go higher in terms of making either initiatives or changes to just move the number up, or has the quality of the pipeline meaning that we shouldn't overly index to that number because of the kind of volume of merchants or size of merchants that you're onboarding at this point is giving you comfort and you're not looking to maximize that metric from quarter-to-quarter?
Noah Glass: Yes. I mean, I think the 5,000 in general, I mean, this is more guidance philosophy than anything. When we entered 2024, we planned on adding 5,000 locations to the platform. That number then stepped up in the second half of 2024, as we mentioned on the call, as more intra year signings and deployments were happening than anticipated. So that was great to see. We pulled more locations into the calendar year. When we look at 2025, we want to take a similar prudent approach as we set out on setting the guide with 5,000 locations as that target. And then similarly to 2024, if you recall, we set out to add about two-thirds of incremental revenue from things that we walked into the year going through the deployment process with about one-third being driven by intra year signings and deployment. So it's really just a continuation of that philosophy. It's not a read-through of health of the pipeline or brand mix shifting over time. It's really just again philosophically setting realistic expectations, as we start the year and then hope to outperform as we go throughout the year.
Operator: Next question, Eric Martinuzzi with Lake Street.
Eric Martinuzzi: Yes. Congrats on the strong finish to the year and the robust outlook for 2025. I wanted to dive in kind of and see if maybe Jack in the Box is representative of overall enterprise behavior. When they went to -- when they added Rails, was there was there an initiative inside Jack in the Box to redeploy? I'm assuming they were on kind of an internal platform. Was there -- did they redeploy their internal IT assets? Did they have layoffs? What were they on and what was the impetus for embracing the product?
Noah Glass: Eric, this is Noah. Thanks for the question. I think specific to Jack in the Box or maybe more generalized to what we see in the Top 25 segments, typically we are landing with those brands with a single module and then expanding the relationship from there. And Jack is a great example of that. Although typically, we're landing with Rails and then expanding the relationship beyond Rails. In their case, we landed with Dispatch and expanded into Order and Rail subsequent to that. And then recently, what we've seen is the opportunities emerging for Catering Plus in a lot of brands up and down the different segments, but inclusive of 25 brands that are interested in working with Olo on that catering channel, as it grows and becomes more resonant in the industry even for QSR kinds of brands, and then thinking about that as sort of a testing ground for a larger relationship. I would say that, what happened during really the COVID era with a lot of these kinds of brands and certainly the top 25 QSR drive-through brands, a little bit synonymous, was that, they dip to toe in the pool doing marketplace relationships, but without a lot of integration. In other words, they might have had all of their operators get tablets in an order that originated from a guest ordering from a marketplace website or app would then just get deposited onto a tablet. And what we've seen is that, that doesn't scale very well. It doesn't scale from the operator simplicity standpoint. They have many different tablets. We lovingly call that scenario tablet hell. And it also doesn't scale very well for the franchise or to be able to keep track of the royalties that they're owed. So you see a lot of brands, once they achieve some level of success where they realize, okay, third-party marketplace orders, that's going to be a real thing. It's going to drive a real meaningful percentage of sales. They -- and dollars of sales and dollars of royalties by extension is that, they want to have some organization, and they want to use a product like Rails to have those orders integrated directly into the point-of-sale, so there doesn't have to be a manual entry of an order into the point-of-sale for it to get collected. And I think you see a lot of examples of brands that are trying to just bring some order to what was sort of the Wild West, as they stepped in a hasty way into the digital world with these marketplace relationships, now bringing that into their tech stack with kind of a bidirectional interface of the menu being controlled in one place, and then syndicated out to the third party marketplaces. And then, when orders originate from third-party marketplaces, those flowing through the platform and into the point-of-sale and into the kitchen display system in a way that gives both the operator and the franchisor control. I think that's a great example with Jack in the Box.
Eric Martinuzzi: And was that, again, back to their own internal IT organization? Are they redeploying those folks once they're up and running on a new Olo module, or are they, getting more efficient?
Noah Glass: I can't speak to Jack in the Box specifically, but what you typically see is that either a brand will redeploy their technology resources to something that is more differentiating for the brand. That is what they sort of think about as their technical version of secret sauce. What we see is that they're not kind of having to then, recreate the wheel. And I think that goes back to, we talked about a little bit in the prepared remarks just to demonstrate scalability of a platform like Olo that is enterprise SaaS and doing this now for 750 brands across 86,000 locations, it's reliability, it's performance on days like Valentine's Day and Super Bowl. It's security and increasingly it's things like privacy. I mean, we are doing all of that complexity as a service and at a fraction of the cost of what brands who have built in house are spending to maintain in-house platforms. And that's why you've heard me say time and time again on these calls, the natural tendency, the natural trend is really homegrown technology shifting over to SaaS. And then, it's not a build or buy decision as a binary, it is both. It is buy into the Olo platform and use your tech resources to build on top in a way that really differentiates your brand and appeals to your guests and your operators.
Operator: Next question, Stephen Sheldon with William Blair.
Stephen Sheldon: Hi, thanks for taking my questions and, really appreciate all the commentary on 2025. That answered a lot of my questions, but I wanted to dig in on the gross profit growth acceleration. It sounds like you're expecting acceleration in 2025, which is really great to hear. It sounds like, it's more second half acceleration. So just wanted to ask, given what you can see, was 4Q, was this quarter kind of the bottom there or could it dip a little more in the first half relative to, I think, 11% growth before accelerating in the back half of the year? I guess, when are you kind of baking in that inflection point into the guidance?
Noah Glass: Yes. So the reacceleration, Stephen, really happens in the back half of the year, as we move through a tougher compare in the first half of 2025. So I think Q2 is more of the trough, if you will, from a year-on-year growth perspective and then a reacceleration beyond that.
Stephen Sheldon: Okay. Got it. That's helpful. And then just on Catering Plus, I mean, you had a lot of announcements, a lot of wins there. Recently, it seems like you're seeing a lot of traction. So is that becoming more material to revenue? And can you just remind us, as that continues to scale, what the margin and gross margin implications are?
Noah Glass: Yes. So where Catering Plus shows up today is primarily in ARPU. Its part of what helps to drive both modules per location adoption and overall ARPU. Obviously, if we have success with brands that are not using the platform today and do subscribe to Catering Plus as their initial product module, that will help to also drive location count, but again, today primarily an ARPU driver. And part of what is giving us confidence in the ability to re-accelerate gross profit growth on a full year basis, but also in the second half of 2025 is because many of the Catering Plus wins that we've had throughout 2024 are starting to come online in 2025. And from a margin perspective, I would think of Catering Plus, like software margins. So it's high margin, which helps to drive overall gross profit dollars and gross profit growth. And it doesn't stop there. And we've said this in the past, Catering Plus, many of the product modules that we've developed for the core ordering platform are also, useful in a catering experience. So whether you want first party, delivery enablement, Dispatch can help. If you want third party marketplace, integration, Rails can help. Pay, obviously, is applicable. And, of course, engage to the extent you want to house all of that data and then use that information to Engage with your catering customers, engage is applicable. So we think in catering is a great opportunity. We're just getting started. Again, today, showing up in ARPU. Over time, we'll expand from there and help use that to help drive more and more gross profit growth.
Operator: Our last question comes from Gabriela Borges with Goldman Sachs.
Unidentified Analyst: Hi, team. This is Max [Kemperol] on for Gabriela. Thanks so much for taking our questions. Noah, you've had some leadership changes in the second half of last year with your new CTO joining and your COO departing. How do you feel about the current state of the management team? Where are you seeing strength versus areas that need a little bit more attention?
Noah Glass: Thanks for the question. I think the proof is in the pudding. We feel great about Jason Ordway, who joined us as CTO. And you can see that he and the team really lived up to our reliability and performance at scale, with the record-setting Super Bowl and then the highest sales volume day of all time on the Olo platform, Valentine's Day, Valentine's Day on a Friday, that we just had. We're thrilled about Jason's leadership and the team, around him. I think the open role is our Chief Revenue Officer role, and I have been thrilled to get closer with our sales leadership, the next layer down, Katie Cofer, in particular, Katie Layng, and working with that team directly on some of the big deals that we're going after and some of the additional module adds to existing customers to take them further on their digital journey. It's been really fun for me to get closer to that part of the business, as we're going through the process of interviewing candidates to come into this role. And, I would say, we are thinking about this as a very important hire, but don't feel this burning sense of urgency, given the success that we're having and the energy that we're feeling in terms of how resonant our message is with our customers around guest data, the guest data flywheel strategy and driving profitable traffic. I also want to just note something, Max, a little bit related to your question, but part of that confidence, that energy is sort of what we're feeling about this moment in sort of the competitive side of things. And I would point to you, I typically get the question in these calls about Olo versus point-of-sale and do we see competition from point-of-sale. And I've said in the past and I'll repeat that, we think about Olo as the guest-facing tech stack for our restaurant customers and we compare that to the point-of-sale really as the staff-facing tech stack. And you can think about what is the platform? Who logs into it to distinguish? What's guest facing? What's staff facing? There has been this sort of battle for the control point. That's what vertical software thinkers would say about the battle between guest-facing tech stack and staff-facing tech stack, Olo versus point of sale. And I think historically, it's been that POS is kind of a mile wide sees every transaction, but really an inch deep is blind to who the guest is. Olo traditionally has been kind of an inch-wide only seeing 18% of overall transactions, just those digital transactions, but a mile deep having all of the context around the guest. That has now changed with this announcement around Olo Pay card-present. This is really a meaningful milestone where Olo has now become a mile deep and a mile wide that we can see every transaction, when a guest -- when I say when a restaurant customer is using Olo Pay card-present, we can tie those back to a guest. And then, we operate in another dimension, which is a longitudinal view of that guest. It also means that, we've eliminated the switching costs of switching to a different point-of-sale, because you can do that now with no disruption to the guest experience, whether that's digital or the in store experience in how the guest pays. So if there's one thing I could get across on this call, it's that, with this FreedomPay announcement and the scaling of Olo Pay card-present, Olo has really now become that control point in this ever-shifting competition between guest-facing tech stack and staff-facing tech stack. And part of that is what's driving the energy in our go-to-market team and I think some of the success that we're experiencing.
Unidentified Analyst: That's very helpful. Thanks, Noah. And maybe just to close this out, I noticed that in your venture release, you included AI-powered menu recommendations. What potential opportunities do you see in incorporating AI technologies across your product suites? Is this something that customers are actively requesting? And if so, what themes are emerging from these potential conversations?
Noah Glass: Thanks. I think we've used AI for several years now across every module -- sorry, every suite within our platform, in order thinking about some of the less sexy things like how do you keep the kitchen as productive as possible, as profitable as possible. Probably the thing we've talked about the most is our order ready AI solution, which does just that, reading from the kitchen system to understand exactly how long an order will take, given the real time data that we're collecting about how busy the kitchen is at that moment and making sure that we're keeping the kitchen running like a race car in the red, but not running over its capacity and doing so as profitably as possible. We're using AI extensively throughout Olo Pay to why you see some of the great results we've been able to post in terms of authorization rates, lower fraud rates, et cetera. And of course, Engage is full of examples of how we're using AI to do messaging out to guests, so that we're ambitiously getting toward a segment of one in how we can communicate with each guest in a personalized manner. And you're seeing now, how we're using AI in what we announced in this past quarter, this winter release and mentioned on the prepared remarks, in how we recommend dishes to a guest, based on what we understand about them. Again, using that longitudinal view of that guest, knowing what they like, because they've explicitly said that or they've reordered it, comparing that to a look-a-like audience of guests and recommending things they've never tried, before but have a very high likelihood of enjoying. And, of course, now with this network that we've created with border-less scaling to 15 million guests, that is another really powerful asset for Olo to continue on that personalization journey and use what the Olo platform can see about a guest to help our restaurant brands really get smart in terms of how to personalize their experience even if it's that guest's first time visiting that restaurant. We're really excited to continue on this personalization journey and really be the leader in personalization. And, of course, AI and machine learning plays a massive role in all of that, and we're proud of the team that we've stood up to take that on.
Operator: I would like to turn the floor over to Noah Glass for closing remarks.
Noah Glass: Okay. Thank you for joining us today. Our strong performance in 2024 sets the table for Olo to continue to win with brands and drive financial results for our shareholders. We're still very early in realizing Olo's potential for helping brands capture transaction data across the entirety of their business and surface actionable guest insights that drive profitable traffic. Have a great evening.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may now disconnect your lines.